Operator: Good afternoon. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q1 2016 Financial Results Conference Call for NXT Energy Solutions. [Operator Instructions] 
 Thank you. I would now like to turn the call over to George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, sir. 
George Liszicasz: Thank you very much, Stephanie. Welcome to today's investor conference call hosted by NXT Energy Solutions. My name is George Liszicasz, President and CEO. And with me today is our management team: Greg Leavens, CFO; Andy Steedman, VP, Operations; and Sajid Sayeed, our Director of Global Business Development. 
 The purpose of today's call is to briefly discuss the highlights of yesterday's news release regarding our Q1 report to shareholders, which I hope you have had a chance to review, followed by an update of our ongoing business development opportunities. The conference -- this conference call is -- of course, contains forward-looking information. So we, therefore, caution with the standard disclaimer that such information is by nature uncertain and often uncontrollable and, therefore, future results may vary from any estimates and expectations. 
 I will now ask Greg to discuss our Q1 financial results. 
Greg Leavens: Thank you, George, and welcome, everyone, today. On the SEDAR system in Canada and on EDGAR in the U.S.A., you can find our Q1 MD&A and the related interim financial statements for the 3-month period ended March 31, 2016. All amounts today -- discussed today are in Canadian dollars, unless otherwise noted. 
 NXT follows the completed contract method of revenue recognition under U.S. GAAP, and our Q1 results reflect a recognition of a USD 1 million SFD survey project in Bolivia, for which our recommendations report was finalized and delivered in January. This project represented a scope expansion of the initial USD 13 million survey, which we delivered in Q4 to YPFB, the national oil company of Bolivia. Overall, our projects with YPFB were highly successful and yielded revenues totaling USD 14.2 million in the Q4 2015 plus Q1 2016 periods. As we will discuss later, YPFB is looking at other potential new survey projects in Bolivia, which we can rapidly deliver them in the near future.
 For Q1 2016, our operating results reflected revenues of $1.5 million and G&A expenses of $1.3 million, a net loss before income tax of $1.7 million and a net loss after tax of approximately $2 million or $0.04 per share based on 53.3 million common shares outstanding. It should be noted that this reflects noncash expenses of roughly $664,000, including amortization expense of $421,000, which is related to the intellectual property asset, which was acquired at the end of Q3 2015. 
 The Q1 results also reflected nonrecurring costs of approximately $144,000 related to completing the upgrading of our stock exchange listing from the TSX Venture to the TSX Exchange, which occurred effective March 22 and  net costs of $162,000 related to ownership and operation of our survey aircraft, which was acquired in December 2015. We seek to charter hire or rent our aircraft to third parties when it is not required for our survey and R&D use. 
 That leads us into our main discussion topic today, and George will continue with an update on business development opportunities. 
George Liszicasz: Thank you very much, Greg. On our May 2 conference call, we noticed that our team was on an extensive global business development trip to advance many significant contract opportunities. As you are aware, our targets are large national oil companies and governments, because of their continued need to develop their natural resources irrespective of the market conditions. They recognize that SFD can significantly contribute to accelerate the exploration process, improve cost efficiency and expedite the discovery of new hydrocarbon resources. 
 Although over time our average contract size is growing, we are still experiencing lumpy earnings. And this position provides challenges in attaining the desired market growth. To address this concern, over the past 18 months, we have strategized and expanded our internal resources and our country sales agent base with the purpose to pursue multiple large contract opportunities in multiple regions at the same time. We wanted not only to increase the number of prospects and increase revenue opportunities, but we made a significant effort to smooth out our revenue profile and provide year-over-year growth and, of course, create higher shareholder value. 
 At that time, our marketing and sales plan was -- at the time when the marketing and sales plan was implemented, there was 1 more factor to consider: rapidly falling oil prices. This made the execution of the plan even more urgent. We expanded -- with the expanded team on board, we quickly identified new market opportunities in the following countries and regions: Ghana, Senegal in West Africa; Malaysia, Southeast Asia; Sri Lanka and China, South Asia; Qatar, UAE in the Middle East. 
 So let us cover some of the new opportunities that we believe have more certainty to be awarded and executed in 2016. We mentioned on our May 2 call that our objective is to secure at least 2 projects by the end of Q2 and start surveying the first project in Q3. I am pleased to say that we are on track to meet these objectives. 
 In all of these opportunities, we are working closely with local representatives because it is key in maintaining ongoing relationships and moving contract initiatives forward. We also know that every country has their own time lines, and we need to be patient in this downturn environment. Companies have tightened their CapEx and are tentative to spend beyond their means. This has created an opportunity for NXT because we offer a unique solution in exploration that rapidly derisk prospects and reduces overall finding cost. 
 So let's discuss Ghana first. Ghana has 1 significant discovery offshore called the Jubilee field, has vast underexplored areas onshore and offshore, more than 100,000 square kilometers. We have established excellent relationships and working directly with senior government officials, the Ministry of Petroleum and the Hydrocarbon Commission. Within GNPC, the national oil company of Ghana, we are working with senior executive and key technical people. 
 We are now at the stage where an SFD project over an area of 15,000 square kilometer has been defined. The SFD data will be used to focus new seismic programs and derisk drilling. We have received verbal commitment from GNPC and expect a letter of intent within 4 weeks, which will be followed by a contract award. The SFD survey is expected to commence in Q3 this year. I also would like to add that there will be additional opportunities after this contract is executed. 
 The next project I would like to discuss is in Malaysia with the national company, Petronas. We have met everyone from the Chairman today, a 30 member technical team, and now we can seize the opportunity to work with one of the largest oil companies in the world. NXT has achieved technical acceptance and Petronas acknowledge the value that SFD brings to their exploration cycle. Within the next month, we expect Petronas to define the survey area, which will be followed by negotiating of contracts. 
 It is important to note that we have already completed the process to be a registered supplier to Petronas. Basically, NXT focused its efforts to be positioned for growth when oil prices recover and get stabilized. We see some improvement already. We are very confident that both Ghana and Malaysia will deliver significant contracts and will substantially contribute to our 2016 revenue stream. 
 I would like to give you a sample of other opportunities now. Senegal. This West African country represents a tremendous opportunity for NXT. It has recent offshore discoveries. The country is currently facing a serious energy shortage. And there is almost 400,000 square kilometer of unexplored onshore and offshore areas. We are closely working with Petrosen, the NOC or the national oil company of Senegal, and also with independent international oil companies or IOCs to conduct SFD surveys. So far, the reception to NXT has been outstanding. 
 NXT had its first senior top-level meetings in China with CNOOC, C-N-O-O-C, the largest offshore E&P company in China; and with CNPC, the national oil company of China. Following the first meeting, NXT was asked to make detailed technical presentations to the geoscientists and engineers of both companies. NXT was received exceptionally well in China and has been asked to provide further information on our technical capabilities. 
 With regards to the Middle East and Sri Lanka, we have been working extensively with Qatar, UAE and Sri Lanka and expecting positive development from them shortly. Each of these prospects has expressed the desire to utilize our services and are in various stages of project development. We will provide updates when more details regarding project time lines become available. It is also important to note that this is not an exhaustive list of our initiatives. There are many more opportunities being pursued. 
 Let us turn our attention to countries where NXT has successfully executed SFD surveys and now working on additional survey opportunities. Bolivia. YPFB Andina is purchasing nearly $1 million worth of existing data, SFD data. We expect contract documents to be executed and project completed before the end of Q2. Following the excellent results of our first survey with YPFB, the national company of Bolivia, we are now in discussions to provide a second survey in line with their expanding needs of the organization's exploration plan. Our team will be visiting YPFB headquarters in Santa Cruz later this month. 
 Pakistan. Our recent visit to Pakistan -- on our recent visit to Pakistan, we met OGDCL, the other -- the large national company of Pakistan, and delivered technical presentation to the project team, resulting in advancement of our status within the tendering process. As you are aware, the contracting process in Pakistan is slow, but we are very confident that this project will move forward. 
 PEMEX. We are on plan with the new strategy with regards to PEMEX, which includes a scheduled appointment to meet the newly appointed CEO later this month. Obviously, we are excited about this new development since the opportunity working with PEMEX and the IOCs in the Gulf of Mexico is tremendous. 
 Each of these initiatives discussed today have an average contract value of approximately USD 5 million to USD 10 million. They will also provide us the opportunity to expand our data library and advance our vertical concept, which we hold very dear and consider it the ultimate revenue builder. 
 In conclusion, in these times -- in these tough times for the oil industry where service companies are cutting staff and recording record losses, we are one of the few companies that are forecasting revenue growth. We recorded record earnings and revenues last year, and we are very excited by the opportunities that lay ahead in 2016 and beyond. We look forward to updating you over the coming months regarding each of these opportunities. 
 Thank you for all of your interest today. I now ask our operator to open the line for us to take a few of your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Stan Trilling with Morgan Stanley. 
Stan Trilling: My -- the question I need to ask is, can you give us more color on your meetings with PEMEX, which is long -- this situation is long overdue? What is on the agenda? And what do you expect to achieve? 
George Liszicasz: I've been already told to be very careful. Thank you very much, Stan. It's very nice to have you on this conference call. We have been invited by PEMEX. And our purpose or our desire is to continue working with them based on the 5-year contract that we have already signed and enter into an SFD contract. That's the ultimate goal, and allow PEMEX to accelerate their resource development and cut cost. Maybe if Sajid would like to add something to it. He's going to be with me as well. You're most welcome. We just don't want to stretch it too much. 
Sajid Sayeed: Thank you, George. Stan, we have a very good relationship with PEMEX And PEMEX is one of those companies that have vetted our technology, and we have written a joint technical paper that they have validated the value that it brings in the exploration cycle. And now we have a new leadership, looking at a new process. He definitely has an agenda to streamline the operations and rapidly make a turnaround of the financial situation of PEMEX, which is not a secret anyways. And at this point, at this juncture, he has clearly indicated the interest to meet with us and see what we could offer. And by the virtue of the technology itself, we can really help PEMEX at this juncture to turn things around, to improve the resources pretty fast with the technology that has been vetted and approved and used by their own company. And it's just that we have a 5-year contract that hasn't made a lot of gain yet, and we look forward to putting this agenda forward and using the relationship that we have and the interest the CEO has showed in our technology to move forward. 
Stan Trilling: Well, has the same situation happened with other suppliers of services to PEMEX that have been put on hold for as long as we have? That is there a real change in management? And are the roadblocks you had in the past still there or are they different? 
Sajid Sayeed: It is very clear to us at this point from what we have been working with and the resources that we're talking to that the environment and the mentality has definitely changed. There's a very clear need and an absolute urgency to turn things around. The new CEO comes from a strong economic background and is looking at the economic values of what things that he could do in terms of way of turning things around. The factors that he has definitely heard about our technology and he has accepted our meeting and he wants to meet with us shows a very clear indication that he wants to see what he has on plate that he could actually use on an immediate -- as an immediate solution that he could use, one among the many that he has, to turn things around. 
 Have they worked with other vendors in a similar manner, similar ideas? We really don't have a clear picture of this. There are no indications as such. But for us, it's very comforting to know that he has encouraged. He has definitely seen the value in our technology, and he wants to have a serious chat with us for which we are going and meeting him. 
George Liszicasz: Stan, as far as we know, they are going through a review process of all companies that are suppliers to PEMEX. And I am pretty sure that many of them are going to be shown the door. So -- and because the corruption in PEMEX was -- we're not saying that? Okay. 
Stan Trilling: It was an issue, okay, the perceived corruption. 
George Liszicasz: A perceived issue, Yes. 
Operator: [Operator Instructions] Our next question comes from the line of Hal Collier with Aggressive Undervalued. 
Hal Collier: It sounds like you've got a lot of great things in the hopper. Question specifically on Ghana. You've got that 15,000 square kilometer area defined. And are you now working up a contract proposal on that? 
George Liszicasz: I will let Sajid answer the question. I will ask him actually. 
Sajid Sayeed: Yes, Hal. There have been a number of discussions on how to proceed forward. We had just come out of a very detailed and intensive meeting with the officials or the technical team, where they're looking at the offshore prospect. And they got a drilling program and -- where they got a seismic program. And hence, they're trying to reengineer and find out which is the most prospective areas where they can allocate the 15,000 square kilometers. So we are looking forward towards a letter of intent before we are call in for a formal meeting to define these areas finally and proceed towards the formal contract. 
George Liszicasz: Thank you very much for your question. It just means that both onshore and offshore, they have a need. And we will just basically let them decide which way they want to go. 
Operator: [Operator Instructions] Our next question comes from Peter Mork with Mork Capital Management. . 
Peter Mork: Hal kind of had the same question I was going to ask about. Just kind of sound like that Ghana -- a potential contract that's moving along nicely. And so that's -- it sounds like that's an offshore basin. Is that correct? Or an offshore survey? 
Sajid Sayeed: Peter, no. They have got a major discovery in a production on the offshore basin called the Jubilee field and 3 other offshore basins blocks that they want to work in. And right now, they're concentrating on onshore what they call the Voltaian Basin. And this project is for the Voltaian Basin. And pending the success of this, there are a lot of discussions that they want us to get into offshore as well. 
George Liszicasz: Peter, they do have some seismic, but they are planning to do new seismic. They want to use the technology to high-grade areas, so that they don't have to do an extensive seismic program, just over areas that have the trapped fluid potential. 
Peter Mork: Sure. There was a couple of articles talking about how they were moving on to the onshore, and that was going to be a big push from. So that makes sense because it's a pretty extensive area. The 15,000 kilometers, how much of a percentage of the onshore basin would that be? Is that all of it? Is there work beyond that? 
Sajid Sayeed: The onshore basin is somewhere around 92,000 square kilometers, the whole basin, and there's a huge lake right in between. They ideally -- they have identified a few prospective areas. And from what information that we have been privy to and what we -- research work we have done, they should ideally be working towards around 46,000 to 50,000 square kilometers of the basin where they should be concentrating. So -- and there -- definitely, they have their budget constraints, and they got an extensive seismic program planned. And so they are working towards -- they haven't identified exactly which part of the basin they want to concentrate, but we have a good idea of where they should be going. So once that is done, probably they'll expand the program further up north. 
Peter Mork: Okay. And just in terms you guys listed just -- a lot of different areas sounded positive. Is there any way to kind of quantify? I believe it was -- sounded like 1 or 2 or kind of real near term. But it sounded like there was expected developments on the other ones. Just in terms of the ranking of when those hit. Is -- 1 thing is -- I know George listed them kind of in an order. Is that from -- starting with Ghana and down, is that the way we should think about like the most perspective? 
 And then, secondly, it's -- obviously, this is -- these are going to be contracts that are in a very different part of the world. You listed, I think, what was it, 7 or 8 different countries and you still -- that was before we got to Bolivia or PEMEX or Pakistan, where we've actually done some work before. How much -- what's the capacity of the company right now? Is this going to be a situation where if we land one of these, like you seem to be suggesting in the next couple of weeks that there -- that going to take up a quarter of work where it's going to push off some of these other contracts when they come? Because it doesn't seem like you have the capability to -- if everyone starts signing up, granted that would be a high-cost problem, but how are you guys thinking about that? 
Andrew Steedman: Let me answer that. Thanks, Peter. It's Andy. So from the -- have we thought about the challenges, et cetera, of the expanded work? The answer is yes. In terms of the ability to acquire the data and acquire these projects, we feel that we have the capacity to do multiple of these contracts and complete them this year. A typical -- the typical acquisition, the acquisition, physically gathering the data, time in the projects is in the sort of 3- to 6-week range is what typically happens in the projects that we've been doing. 
 The other thing that's important to note is the projects are larger. And therefore they increase the efficiency of the acquisition of the data as well as the efficiency of the interpretation of the data. So as the larger contracts, it gives us the ability to ensure that we can fulfill and meet these needs. Obviously, there's going to be a point to when -- if every one of these opportunities happen on the same day, we're going to have to prioritize them and schedule just like seismic companies -- other companies do. So -- and we're confident that we can work through that problem. 
 The other thing is you talked about a lot of these are new countries. The answer to that is yes. But we've been very careful in all these countries to have in-country representation, et cetera, and understanding of what's going on in the countries. So we think that the facilitation of permitting and permissions, et cetera, of that for these countries will go quite smoothly. 
George Liszicasz: One more thing I would like to add to that, Peter. And that is that we made an effort to separate the people who are acquiring data and those who are going to continue doing interpretation. So because of that, we have an increased capacity that we will continue to expand, if needed. Anything else? 
Peter Mork: Yes. Let me -- I'll jump back in the queue after this. But just one more question. You mentioned Bolivia as well. It sounds like you guys are going to be down there. Now obviously, that's repeat business. They're familiar with you guys or reports we've gotten following it is that they've been pretty happy with the results they've gotten. So I guess the question there is just should the size of the next contract be comparable, I mean that? And number two, any update on the ultimate measure of success, which is drilling. Are there any drills on the horizon there? I think Andy talked about maybe on the last call, PCR in Argentina, that there was something on the horizon potentially there. Anything in -- the Gulf of Mexico, just maybe just a brief update on any drills that are expected to happen? Or maybe you guys would -- could get some additional confirmation for clients and shareholders alike if and when those hit? 
George Liszicasz: Okay. Let me start and then I'll let Andy talk about the contract opportunities down in Bolivia. Bolivia is going to drill a number of prospects of -- a number of SFD identified prospects this year. They plan to do that. I believe it's about 3. The other company, PPL in Pakistan, is planning to drill also 3 prospects, 3 SFD prospect in the new basin, the Kharan Basin, where we did our work a couple of years ago. And now they completed the seismic and everything is going very well. It's a brand-new basin. Nobody has ever drilled a well. The closest production is 500 kilometers away. 
 PCR, as you heard from Andy, is going to occur in July as well. And  there has been some other drilling that unfortunately we cannot discuss because we have not received the permission to release the information that is positive, but we can't discuss it further than that. We hope very much that the paper will be written on that, and then we are going to be published jointly with the company. Also, we are jointly publishing with YPFB a paper at the Cartagena conference this September that will basically discuss the results of the SFD survey. And now I'll let Andy to discuss the scope of work. 
Andrew Steedman: The work in Bolivia with YPFB, so one of the things -- and George talked about the drilling. But one of the things that YPFB is doing is they are utilizing the SFD as a focusing tool, as a confirmation tool and -- for all the work they're doing. We're working with them extensively. We have an office there, albeit small, there, so that we can work with them on an ongoing basis. And each one of the prospects that they have and they're looking at SFD and they're asking us our advice, working with our geoscientists, to better understand what they're doing. And from that, what's happened is they've come to us and they said, okay, we've got this particular information in this area. We're planning this program here, seismic programs, et cetera. We need to get a better understanding of it, and they wanted to define their prospects in their areas better. 
 So what they've done is they've asked us to come down and help them to find multiple areas within Bolivia or better to find them. And so that's why we're going there to help them plan additional survey lines. The exact size and scope of that right now I really can't say what the size and the scope of this will be, but we're certainly hoping to get things that will get up into the similar sizes that we've done for them in the past. The other deal that we're working with that hopefully will be signed very shortly with YPFB Andina as one of the subsidiaries. So they're not an existing client. They'll be kind of technically a new client, although they are partially owned by YPFB itself. 
George Liszicasz: And Repsol. 
Andrew Steedman: And Repsol, yes. So they're a joint venture between YPFB and Repsol. 
Peter Mork: And that's the sale from the data library? 
Andrew Steedman: Yes. So that was data that we gathered last year when we were in the country, and we worked with them and they wanted to have -- from a budgeting perspective, they wanted to purchase it this year because they didn't have the budget to purchase it last year. So we acquired in for them last year, and now they're in the process of doing the contracting to purchase this year from existing data. So can we deliver the project almost instantly is the best way to describe it. 
George Liszicasz: Good quality, too. So we are going to -- I'm hoping they're going to be very happy with it. 
Andrew Steedman: Yes. They have given some indications that they potentially want to do more and just the purchase of the data as well. 
Operator: [Operator Instructions] We have a follow-up from Stan Trilling with Morgan Stanley. 
Stan Trilling: In the -- I -- in the press, I did not see any details on the amount of cash that was left in the quarter. I wondered if in that quarter, is -- did you buy the plane? 
Greg Leavens: Stan, the plane was purchased in December. So that was in our Q4 period. That was at a cost of CAD 2.7 million. At the end of Q1, in the news release, we indicated that net working capital was about $6.2 million. 
Stan Trilling: $6.2 million, okay. And -- okay. And was there any -- in your expense side, was there -- well, any depreciation of the plane in that quarter? 
Greg Leavens: Yes. There's some. In the first quarter, it was under $100,000. I think it's about $70,000 or $80,000 on the aircraft itself. Most of the amortization relates to the intellectual property. 
Stan Trilling: Sure. I understand that. I just wanted to find out where the rest came from. And it was -- I was confused with the -- the survey -- why you had -- I thought the survey had been completed in the fourth quarter. So why would you have survey expenses in the first? 
Greg Leavens: In the first quarter, the survey cost has a few components. One of them is the costs that were deferred at the end of Q4. So a portion of the costs that we incurred in 2015 were deferred and recognized with the project on its delivery in Q1. That was about $400,000 that was carried forward. We also had costs incurred in Q1 in doing the integration study work that we traveled to Bolivia and spent time there in largely January. And also, we've grouped costs related to owning and operating the aircraft with survey costs. And those were net of about $160,000 for the quarter. 
Stan Trilling: Okay. And last one for me is even after you subtract the amortization expense, why was -- did your general and administrative expenses jump as much as they did? 
Greg Leavens: G&A was about $1,255,000 for Q1, which is up about $100,000 from the comparable quarter in 2015. 
Stan Trilling: Right. I guess what I'm looking at is the total. 
Greg Leavens: Total expenses, you mean? 
Stan Trilling: Yes. I still see a difference of -- if you look at survey... 
George Liszicasz: Stan, may I suggest that you have a call with Greg and go over that part. 
Operator: Your next question comes from the line of [ John Gay ], a private investor. 
Unknown Attendee: Could you tell me generally what your breakeven would be when you're idle and then again when you're actually surveying? Is that a figure you can come up with? 
Greg Leavens: Sure. Can you repeat that question, [ John ]? 
George Liszicasz: Would you please repeat it, [ John ]? 
Unknown Attendee: I was wondering if you could tell us the breakeven you would have while idle, and then again while you're surveying? Is that a figure that you can come up with? 
Andrew Steedman: [ John ], it's Andy. If we're idle, obviously, you can't breakeven if you're not working. So we can't give you a breakeven point from that from when we are actually conducting over how much survey work do we need to conduct in a year to breakeven. It's probably in the $7 million to $8 million. And to be honest with you, the actual -- if you look at -- you can look at the G&A expenses and then from the survey costs and saying how much revenue do we have to generate versus cost, and that depends on the size of the projects, et cetera. That's why there's a range. You can't say exactly if we had a whole bunch of really, really small projects versus 1 large project. The breakeven is lower for obviously dealing with large projects because of these issues. 
Unknown Attendee: Right, right. Yes. I understand that while you're idle, you can't be breakeven because there's no revenue, but I was trying to establish what your quarterly expenses might be that other activity would cover. 
Greg Leavens: Well, right now, our G&A would run at about $5 million a year. And we also have some costs on carrying the aircraft, if it's not working. 
George Liszicasz: You're most welcome, [ John ]. Anybody else? 
Operator: Your next question comes from the line of Jerome Hass with Lightwater Partners. 
Jerome Hass: I was taking a look at your annual report, and we note from there that your leasehold improvements went up approximately $750,000 last year. We also note that your rent in Calgary has actually gone from about $250,000 a year -- it's doubled to $533,000 a year. So at a time when the rest of the oil patch, in Calgary, in particular, is clearly going through a rough time, I guess we're, a, wondering why that was necessary for you to increase your rent, double the size. And secondly, when we look at how you use money over the last 2 years -- so we wrote to you 2 years ago, suggesting a normal course issuer bid or a substantial issuer bid when your share price was down 50% and  was trading around $0.90. 
 So we're now able to see how that money was actually spent. So you spent basically an extra $0.25 million a year on rent and $750,000 on leasehold improvements. And on top of that, there's the $2.7 million, which we now have an airplane sitting in a hanger. So of that 750 -- $7.5 million in cash that you had at the time we wrote to you, you spent half of it on nicer offices, cushier chairs, nicer pictures on the wall and an airplane in a hangar, which is yet to be used for commercial purposes. So as shareholders, can you explain to us why we shouldn't be offended that you saw this as a better use of capital than buying back your shares at $0.90? 
George Liszicasz: There you go. Now you're answering your own question. You wanted us to buy the shares back, correct? Well, we wanted to make sure that we have access to an airplane, correct, that was about to leave. And we wanted to make sure that if there's going to be an opportunity like as we believe it is now to expand our operations, we're not going to be restricted by space, okay? And the Board of Directors decided to hire people and train them to do interpretation and other engineering work that was very much needed in the company, expand our marketing and sales efforts, as you heard. And we believe that we are going to be very, very successful. So the only reason why you're asking these questions is because we did not buy back the stock at $0.90. That's my answer. 
Greg Leavens: Maybe to just add a little bit to that -- to Jerome on the office lease. Unfortunately -- the timing of when we entered into looking for new office space was unfortunate. We had actually committed to looking for space back in the summer of 2014 because the existing space we were in, the lease was expiring. And we were at that complete capacity in that space that we were looking for a little bit of expansion from that. So unfortunately, if we had been able to wait another year or 2 years, we would have been in a real buyer's market for lease space, which we weren't at the time, unfortunately. But we decided we needed additional room to grow into, which this new office premises is giving us. And the cost is slightly higher, but it is a bigger and better facility that we're in now. 
Operator: Your next question comes from the line of Mike Niehuser with Scarsdale Equities. 
Mike Niehuser: This is Mike Niehuser. I couldn't resist asking the question, but if you could help me with my thinking. Through the narrative, you mentioned about 10 different countries that you are contemplating future business in. Some of those just recently, some in the recent past. And if you look at those 10 countries and the range of $5 million to $10 million per engagement, I'm thinking that defines a pipeline over the next couple of years of somewhere between, just to use the math, $50 million and $100 million, not including if you threw Argentina into the mix. So I'm just wondering if that defines maybe the pipeline a reasonable range in the next 24 months. And also the second follow-on would be for the next 12 months. It seems like there's a high probability that the real business that you might materialize in Ghana and Malaysia could either equal or come close to doubling what you did in Bolivia in the last year. Those are my 2 questions. 
Sajid Sayeed: The answer in simple terms is yes. To be very honest, we are working extensively, and we've been working on this for the last 18 months in growing these prospects. The $100 million mark is very reasonable based on all our business development efforts that we are focused on. We are talking to the highest authorities and the decision makers in each of these prospects of ours, and we're very comfortable in pursuing these. We've been working diligently day after day to expand this base, and we are focused towards growth. And I would say a bit ambitious, but there's nothing wrong in being a bit ambitious when it comes to growth. And we are comfortable with those numbers. 
 And with regards to these projects, yes, our number between $5 million to $10 million is what our modest expectations are. Each of these countries have different requirements, different challenges. Some of them have the budgets. Some of them don't have the budgets. Some of them have the ambition to expand their budgets as well and the provision to do so. So some of these contracts could be bigger, much bigger than what we are expecting it to be. But we would rather be cautious and modest and be prudent and then give you a bigger number. So these numbers are very comfortable with what we're working with. 
George Liszicasz: I would like to add just an after thought to Jerome's comment that we also needed capital last spring to execute the Bolivia contract. And you get EDC insurance. So if you didn't -- if we don't have the $3 million that we can put up, then we wouldn't have made the $8 million that we did. So I think we are prudent in this regard. I believe that the company is poised now to -- for an incredible growth. As you just heard, we just don't want to go into too much of the details at this point. We want to execute them and then deliver it to the shareholders, the value that they deserve. And I hope that is all going to be behind us. And one day, Jerome and I can just have a nice hug. 
Operator: At this time, there are no additional questions. 
George Liszicasz: Okay. Thank you very much then. Thank you for all your questions. And if you have any other questions, we are more than happy to answer them. And until our next conference call, thank you. 
Operator: Thank you. This concludes today's conference. You may now disconnect. Speakers, if you'll hold the line.